Operator: Ladies and gentlemen, thank you for standing by, and welcome to the 2Q 2020 ACCO Brands Corp. Earnings Conference Call. At this time, all participant are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference to your speaker today, Christine Hanneman, Senior Director of Investor Relations. Please go ahead ma'am.
Christine Hanneman: Good morning. This is Christine Hanneman, Senior Director of Investor Relations. Welcome to ACCO Brands Second Quarter 2020 Conference Call. Speaking on the call today are Boris Elisman, Chairman, President and Chief Executive Officer of ACCO Brands Corporation; and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that can accompany this call have been posted to the Investor Relations section of accobrands.com. When speaking about our results, we may refer to adjusted results. Adjusted results exclude transaction, integration and restructuring costs and reflect an adjusted tax rate. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in the earnings release and slides that accompany this call. Due to the inherent difficulty in forecasting and quantifying certain amounts, we do not reconcile our forward-looking adjusted earnings per share, free cash flow, net leverage ratio or adjusted tax rate guidance. Forward-looking statements made during the call, including statements concerning the impacts of the COVID-19 pandemic on the company, are based on the beliefs and assumptions of management based on information available to us at the time the statements are made. Our forward-looking statements are subject to risks and uncertainties, and our actual results could differ materially. Among the factors that could cause our results to differ materially from our forward-looking statements is the scope and duration of the COVID-19 pandemic, government actions and third-party responses to it, and the consequences for the global economy as well as the regional and local economies in which we operate, uncertainties regarding how geographies, distribution channels and consumer behavior will evolve over time in response to the pandemic and its impact on our business, operations, results of operations, financial condition and liquidity. Please refer to our earnings release and SEC filings for an explanation of certain of these risk factors and assumptions. Our forward-looking statements are made as of today, and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now I will turn the call over to Boris Elisman.
Boris Elisman: Good morning, everyone. Thank you for joining us. I will spend a few minutes reviewing the second quarter results. Most of my time will be used for an update on the impact of COVID-19 on our business, actions taken in response and implications for the second half. Neal will follow me with more color and details on the second quarter and provide additional comments on our cost reductions, balance sheet and expected use of cash in 2020. Then we'll take your questions. Second quarter sales were down 29% to $367 million at the upper end of our guidance. Our adjusted EPS was $0.12, significantly above our estimate, largely from the aggressive cost-reduction actions we took worldwide. All things considered, I'm pleased with our second quarter results. While every country is feeling economic effects from the pandemic, incentives [ph] on our business in any one country depends on a range of factors including where it is in the reopening phase, general seasonality of the business, government support, channel structure and others. In general, the U.S., EMEA, Australia, New Zealand and Asia did relatively well, especially as the quarter progressed, businesses reopened and governments provided economic support to consumers and enterprises. Canada and Latin America had a more difficult quarter either due to later reopening in the case of Canada or lack of government support in Latin America. Each month of the quarter improved sequentially in every region and July has continued that trend. Our second quarter is always driven by our North America back-to-school sell-in. This quarter our back-to-school results were as expected in the U.S., down modestly from last year's very strong performance. I'm especially pleased we sell into large mass and e-commerce customers which were comparable to last year. In addition, our U.S. direct-to-consumer sales were up approximately 6%. Several of our product categories and brands benefited from work-from-home, distance learning focused on well-being and home leisure activities during the quarter. With strong sales growth in TruSens air purifiers, Derwent color pencils and Kensington computer accessories, especially laptop docking stations. Kensington branded products grew 28% in the quarter and Kensington is becoming a leading PC accessories partner for the major players in the PC ecosystem. We also saw good performance from Five Star note taking products in the U.S. and Rapid do-it-yourself tools in Europe. While some product categories and channels benefited from the current environment those focused on businesses did not.  Our commercial sales were down significantly because of lower demand as many offices and schools closed in March and April because of COVID-19 and the pace of re-openings has been very different geographically. We have seen improved commercial sales in EMEA in June and July, but not in North America.  Most of our production and warehouse facilities have remained open during the quarter to meet customer demand as we were designated an essential business in most jurisdictions, although some facilities had reduced staff and hours. Most of our office employees work from home during the second quarter and continue to do so now.  In February and March, we took early action to protect the health and safety of our employees and to aggressively reduce cost to protect our business in the near-term. Now that we have had more time to monitor and assess the situation, we believe that the global economic effects from the pandemic will continue for some time. Therefore, we need to make more permanent and structural changes to our business to be successful in the changing world. These changes include additional cost reductions to offset lower demand; more aggressive repositioning of our business towards stronger brands and more consumer-centric product categories; and accelerating investments in products and channels such as mass merchants, e-commerce and direct-to-consumer that are benefiting from the changing trends like working in education from home, buying online and greater focus on wellness.  This repositioning includes restructuring which we initiated in North America and Mexico. The $7 million in restructuring charges that we took in the quarter are expected to produce an annualized run rate savings of $11 million part of which will be invested to support the brands, categories and channels that I just discussed.  As we're making these changes and shifting from temporary to structural measures, we have also reinstated regular employee pay effective July 1. I want to thank our employees for their hard work and sacrifices during the quarter under very difficult conditions.  Neal will give you additional details on the cost reductions that we undertook in the quarter and that still remain in place. While we have seen our business improve month-over-month there's still a lot of uncertainty around when schools will reopen, when offices will reopen and when the virus will be contained enough for more normal economic activities to take place.  I am confident, we will withstand the current challenges. Our management team has overcome difficult economic and industry conditions before and we have made great strides over the years to create a more resilient and more profitable company. I also believe, we need to take advantage of the opportunities the current environment creates to accelerate our transition to be more brand and consumer-centric company. We are a large diversified global company with a strong balance sheet and will deliver consistent strong free cash flow.  Given our financial strength and the proactive steps we have taken to reduce costs, we expect to be able to maintain good liquidity as we manage through the current environment. We have a long track record of evolving and coming out better and stronger as a valued partner to our customers and consumers and I expect that to continue.  Now I will turn the call over to Neal for a review of the segments, our outlook and other financial commentary and then I'll join him in answering your questions. Neal? 
Neal Fenwick: Thank you, Boris and good morning everyone. I'm going to discuss the impacts of COVID-19 throughout my comments. Those impacts include among others the financial and operational effects on our company, customers and end users of our products due to school and business closures, work from home orders, government orders and manufacturing distribution, supply chain and other disruptions from COVID-19. Our second quarter reported net sales decreased 29% due to lower demand from the impact of COVID-19. As expected, April was our worst month. Since then we have seen good improvement in our sales in each month including what we have seen thus far in July.  Second quarter net income was $5 million or $0.06 per share. Adjusted net income was $12 million and adjusted EPS was $0.12. In the quarter, we benefited $0.01 from a lower share count. Adjusted EPS was better than our outlook based on our cost reduction efforts. Our gross margin was 30% compared to 32% in 2019. The decrease was largely the result of unfavorable product mix, lower fixed cost absorption and increased reserves for inventory primarily because of lower demand from COVID-19 impact.  SG&A expenses were $77 million compared with $96 million last year. SG&A as a percentage of sales was 21% compared with 18% primarily because of lower net sales. As we indicated in our first quarter earnings release, we took many cost reduction actions in response to COVID-19 and participated in government assistance programs where we qualified in order to keep employees rather than having to make layoffs or pay reductions.  We anticipated $20 million in cost savings in the second quarter. We achieved $33 million of cost reductions from both short-term and long-term actions. In the second quarter, we took a restructuring charge of $7 million to reposition both our North America and Mexico businesses, which includes permanent headcount reductions. Those actions are expected to generate a savings run rate of $11 million on an annualized basis. Some of those savings will be reinvested in the business. Reported operating income was $19 million, compared with $61 million last year and operating margin was 5% versus 12%. Our adjusted tax rate of 28% was better than our anticipated 31% rate for the full year and reflects the impact of where we earned the income. The lower adjusted rate in this year's second quarter versus last year reflects the difference in the geographic mix of earnings. Now let's turn to some details of our segment results. Net sales in North America decreased 25%. Solid back-to-school sell-in was more than offset by declines in the commercial office products part of the business, largely reflected of COVID-19 impacts, as well as timing for part of the Canadian back-to-school sell-in that moved to July. In the quarter, we saw strong sales growth in our Kensington computer accessories business and TruSens air purifiers. North America operating income and operating margin declined as a result of the lower sales, unfavorable mix and increased slow-moving inventory reserves. These factors were partially offset by cost reduction. We will monitor sell-out for back-to-school products in the third quarter. We expect most students will go back-to-school in the fall. There may be some variation in the timing of school openings versus normal or combinations of school and remote learning, but we expect most children will need to replenish their school supplies. Now let's turn to EMEA. Net sales decreased 31% to $88 million from COVID-19 impacts, which began in mid-March. Europe was the first area hit by the virus and has been earlier to recover. We have now seen three months of sequential improvement with stronger recovery in our sales of commercial office products than we have seen in North America. EMEA posted a small adjusted operating loss as a result of the lower sales and higher bad debt reserves. These were partially offset by cost savings. Moving to the International segment. Net sales and comparable sales declined significantly, because of lower demand from the impact of COVID-19 especially in Latin America. Mexico and Brazil continue to be significantly impacted by COVID-19, whereas, our businesses in Australia and New Zealand and Asia recovered more each month as the second quarter progressed, similar to what we saw in EMEA. As a result of very low sales in the quarter, this segment posted an adjusted operating loss of $3 million. Results were also hurt by adverse customer and product mix, higher bad debt reserves, and lower fixed cost absorption partially offset by cost reductions. Foroni posted a loss of $2 million from the impact of COVID-19 and it is also a seasonally low period for Brazil. Let's move now to our balance sheet and cash flow. In the second quarter, we used approximately $42 million in net cash from operating activities and had $44 million of free cash outflow. We paid dividends of $6 million and CapEx was only $2 million. As we noted in our first quarter release, the planned use of free cash flow for the remainder of 2020 will be to fund our dividend and to reduce debt. We do not plan to repurchase shares for the remainder of the year. Our CapEx outlook for 2020 is $20 million and we have spent $9 million year-to-date. At quarter end, we had used $257 million of our $600 million revolving credit facility, primarily for seasonal borrowings. We also had $129 million in cash on hand. The net leverage ratio was 3.48 times, which is well under our debt covenant. Now let's turn to our outlook. It is difficult to forecast in this environment, because there are so many moving pieces. Thus, we do not feel we know enough to give a full year outlook. Our second half demand is expected to continue to be down compared with last year, especially in the commercial office products area. We have better visibility near-term and our third quarter outlook is for a sales decline in the range of 15% to 20%. Third quarter adjusted EPS is expected to be in the range of $0.13 to $0.19. The third quarter outlook includes an adverse foreign exchange impact of 1% to 2% on sales and a negative $0.01 impact on adjusted EPS. We expect our cost reduction actions combined with our normal productivity programs will deliver approximately $15 million in additional third quarter expense savings compared with last year. Our third quarter cost reductions include the benefits of recent restructuring decisions as well as actions we took earlier this year, including lower incentive accruals, postponement of 2020 merit increases, suspension of the 401(k) match, furloughs, temporary layoffs and reduced hours for reduced pay arrangements. We have ceased almost all travel and continue to postpone discretionary spending and some product development focused on commercial customers. We feel confident that we can generate at least $120 million of operating cash flow for the full year and with CapEx expected to be $20 million, we will generate at least $100 million in free cash flow. We are experiencing an increased level of late payments from customers in certain areas and have increased our bad debt reserves by $4 million in the second quarter. Our South American and Mexican customers along with the wholesaler insolvency in EMEA are the main concerns. We are actively managing our receivables and will restrict our own sales to mitigate our risk if necessary. Inventory should now continue to decrease as we ship the remainder of North America back-to-school products and continue to rightsize our non-seasonal inventory for the anticipated lower demand environment. Now let's move to Q&A where Boris and I will be happy to take your questions. Operator? 
Operator: Thank you. [Operator Instructions] And our first question comes from Chris McGinnis with Sidoti & Company. Your line is now open.
Chris McGinnis: Good morning. Thanks for taking my questions, and nice quarter.
Boris Elisman: Good morning, Chris.
Chris McGinnis: If we could just -- obviously some pretty strong results. Just can you maybe just talk about the conversations you're having on the sell-through? I know it's obviously very early, but just maybe with some of the retailers you're talking with their expectation of how you see that playing out? Obviously strong sell-in, but that sell-through is important?
Boris Elisman: Yes, Chris. If your question is particularly to back-to-school sell-through, it's really too early to have any information on that. Back-to-school sell-through is just beginning. And we and our retail partners expect it to be later this year given the uncertainty in school openings. So we don't have enough information on that. Our general sell-through which we track on a regular basis is consistent with the comments that Neal made. We are seeing pretty good sell-through in large mass and very good sell-through in e-commerce channels and we're seeing a lower sell-through, a declining sell-through in the commercial channels. But for back-to-school, it's still too early. 
Chris McGinnis: Okay. And then just as -- obviously it's a little bit more extended, but just with Brazil and kind of what's happening there, the back-to-school in Q4 is pretty important for you. Can you just maybe comment on what you're hearing there in terms of demand? 
Boris Elisman: Yes. Q2 is typically a very low seasonal quarter for us in Brazil. Normally, we ship some of the back-to-school inventory into the channel in Q2. This year we did not do that. And hence we saw a fairly rapid decline in sales in Q2. We are going to do that in Q3 and then we're going to gauge the feedback from the channel and their confidence in this year's back-to-school to see what we need to do in Q4. So Q3 is going to be pretty important for Brazil we're optimistic. The school schedules have come out, which is a good sign. So there is some certainty that we and our customers know when schools will be reopening in Brazil. But again, we'll have to monitor sales and we'll have to see what happens in Q3.
Chris McGinnis: Sure. No I appreciate that. And then just one quick one. Just can you just maybe talk about the -- just on the commercial side of the business. Obviously in U.S., it sounds a little bit more -- a lot more weak than Europe. But any indication of that comes back or how that's playing out? And maybe just how much was that down in the quarter if you don't mind?
Boris Elisman: The commercial side of the business in North America was down roughly 50%. So North America overall was down 25%. So you can see how much better the retail in back-to-school did to offset the commercial. In Europe, the commercial side was a lot better. And in Europe, we're also seeing a very good improvement month-over-month. The reason behind it is that Europeans are going back to their offices. Offices are reopened and people are going back to work from the offices. In North America, even though businesses have reopened most people are still working from home. So until we really see a movement from home into the office, we're not expecting significant improvement in the commercial sales in North America.
Chris McGinnis: Great. Thanks for the info, and good luck for Q3, and thanks again for taking my questions.
Boris Elisman: Thank you, Chris.
Operator: Thank you. Our next question comes from Kevin Steinke with Barrington Research. Your line is now open. 
Kevin Steinke: Good morning.
Boris Elisman: Good morning, Kevin.
Kevin Steinke: I wanted to talk about the cost savings actions you're taking with regard to making permanent structural changes in reaction to the pandemic. Can you just kind of talk about what led to your decision there? What -- how much you expect the demand environment to change longer-term that led to that decision? Just kind of the trends you expect work from home to continue more permanently et cetera?
Boris Elisman: Yes, I'm not sure Kevin that we're ready to quantify that except for we do expect that the recovery is going to be slow. We do expect that sales will be down certainly this year given that we already had 29% decline in Q2 and we're expecting another 15% to 20% in Q3. And we'll see as it's uncertain how things will recover in 2021. But just given the economic impact and the expected slow recovery we need to take some -- make some structural changes to the business because the revenue is going to be down that much lower. And it starts -- it does start with North America and Mexico because we have a more challenging channel structure in Mexico and North America. We have very concentrated sales in those two regions. So, we needed to just right-size the businesses in decisions in Q2. I don't think this is the end of it. I think we're going to see how business evolves and we'll be making additional decisions on reducing cost for the next several months. We'll see what happens in Brazil as we discussed. And it's likely we'll make some additional tweaks in North America as well.
Kevin Steinke: Okay, great. And then you mentioned the need to accelerate your continued transition to more consumer-focused brand-focused company. Maybe any thoughts on how you plan to go about that and how acquisitions might play into that continued transition? 
Boris Elisman: Sure. Let me just make some comments on the organic initiatives. We talked about certain categories benefiting from current trends and we believe that they will continue to benefit from the changing consumer preference and the changing channel preferences. And that -- those categories include wellness and our TruSens air purifiers as well as other products we'll introduce in the TruSens brand, arts and crafts including our Derwent color pencils, computer accessories, especially docking station with our Kensington brand, and school products have fared fairly well. So, we will be continuing to emphasize note taking in Five Star. So, we will reprioritize our investments to strengthen those categories and brands and expand the offerings in those brands. If you look at channels, we've seen a very rapid shift from brick-and-mortar to online both e-commerce sales as well as our own direct-to-consumer sales where we have that available. So, we'll be reinvesting or adding investments to those areas. Those will come from lower investments in the declining channels. And all of that was obviously supported by the additional productivity and cost reductions efforts that we're going to make throughout the business. If you look at the inorganic growth, we will -- we are continuing to be on the lookout for shareholder accretive acquisitions. But given the reduction in the business, given the increase in leverage that we're going to see this year as a result of that, certainly the bar for any acquisitions is higher, we will be more judicious. But if something pops up that can move us in the direction of stronger brands more e-commerce and more direct-to-consumer and can increase the growth of the business then we will certainly take a look at it. But again I think we will be more judicious in the near-term.
Kevin Steinke: Okay, that's very helpful. And then just lastly I wanted to ask about TruSens, the air purifier product line specifically maybe -- obviously, it's been doing well in this current environment. So, how is it tracking relative to your initial expectations? And what's the longer term outlook that you see for that product line maybe relative to what you thought initially? 
Boris Elisman: It's certainly doing a lot better than we thought. We sold more in the first six months than in the whole of last year. And we could have sold more if we had more product we're still chasing supply on that product line. So, we're very bullish on this. We have a lot more product coming in in the second half of the year. We're going to be expanding the category to have other products in the TruSens brand. I certainly do expect that over the next couple of years it will be a multi tens million product line for us. And those are the types of products that I think will move our company forward and will get us closer to the consumer. 
Kevin Steinke: Okay. Great. Thanks for the update. And thanks and congratulations on the good results in a difficult environment.
Boris Elisman: Thank you, Kevin.
Operator: Thank you. Our next question comes from Joe Gomes with NOBLE Capital. Your line is now open.
Joe Gomes: Good morning.
Boris Elisman: Good morning, Joe.
Joe Gomes: I was just wondering if you might be able to kind of give us a little update or insight into the channels? You talked about some of the faster-growing ones. So during the quarter if you could kind of quantify what the size of the channel or business that came through the channels on the -- between office, superstores, independent the mass e-com what amount of revenues are the various channels accounted for in the quarter?
Boris Elisman: I'm not sure I have that information, Joe. Let me just talk directionally.
Joe Gomes: Okay.
Boris Elisman: This is back-to-school season. So in North America, the majority of our sales were made through the big retailers and big e-commerce players. And as I mentioned in my prepared remarks those did well down a little bit to a very strong performance last year. And our commercial channels in North America we saw a big decline. It was driven by basically mandated business closures in April and then very slow recovery after that. In EMEA, the commercial channels are doing well. And as Neal mentioned, we've seen strong recovery. Our business in EMEA is mostly commercial. There's very little retail in EMEA. So the recovery in EMEA has been driven by the commercial channels. And by the way that has continued into July. If you look at Australia performance there similar to EMEA has been a fairly good recovery in Australia and it's been fairly broad including retail and commercial channels. And in Latin America, things are very, very slow just due to seasonality as well as there's just lack of any kind of government support either to the consumers or to businesses during this pandemic. So things are very, very slow to recover.
Joe Gomes: Okay. Thanks for that insight. Talking about the back-to-school, they're kind of split into two, one you had the K through 12 then you have the college. Do you guys have any indication of what percent of your back-to-school sales kind of go to the K to 12 versus the college. The college seems to be one where there might be more leaning towards that online learning as opposed to going back to campus.
Boris Elisman: You're absolutely right. We agree with you that colleges will be likely more in a virtual world though many colleges will be more in the virtual world where many of the K through 12 will be more in a physical world. A vast majority of our back-to-school sales is K through 12 and it's probably more like K through 9. If you get into the later years of high school or in college. Certainly, a lot of those kids are using digital learning tools for many, many years now. So it's really not where we've been selling our products. So that's why we believe that will be effective to a lesser extent by some of these decisions by colleges to go virtual, because of - they make up a lot of our sales. 
Joe Gomes: Okay. Great. Thanks for that Boris. Appreciate it.
Boris Elisman: Thank you, Joe.
Operator: Thank you. Our next question comes from Brad Thomas with KeyBanc Capital Markets. Your line is now open.
Unidentified Analyst: Hi. Good morning. This is Andrew on for Brad. I was wondering if you could provide an update on price. Now that we have a better idea on industry demand and increased COVID-19 related costs, do you still see prices potentially increasing in the future given increased COVID-19 related costs across the industry?
Boris Elisman: Yes. I see prices increasing starting early next year to cover the incremental costs associated with COVID-19 absolutely. I don't think it's going to be a significant increase, because there's been an impact on productivity, but it's not huge, but certainly I do expect low single-digit price increase to offset COVID costs. And then the typical price adjustments that we have to make to cover the foreign exchange rates. So that's also going to come into play.
Unidentified Analyst: Okay. Understood. And then you noted a negative impact to gross margin from product mix. Could you talk about what drove that shift in mix? And how you expect this to evolve going forward?
Boris Elisman: The probably the biggest effect that we saw from products mix is lower sales of security in Kensington, because people are not traveling. People aren't going to the office. So there's less of a need to buy additional security locks and much higher sales of laptop docking stations to support the work-from-home environment as well as we've won some large bids with governments with laptop docking stations. And security inherently has a much higher gross margin than laptop docking station. So that has really affected the mix of our Kensington business and Kensington is now a much bigger part of our business because the sales grew 28%, whereas overall sales declined 29%. So that's probably the biggest effect that we had right with the product. Neal also mentioned we took some additional charges on obsolete inventory just given the expected lower sales. And obviously fixed cost absorption also hurt our gross margins a little bit given the decline in sales.
Q – Unidentified Analyst: Okay. Thank you, very helpful. That’s all for me. Thanks Boris.
Boris Elisman: Thank you, Andrew.
Operator: Our next question comes from Bill Chappell with SunTrust Robinson Humphrey. Your line is now open.
Q – Unidentified Analyst: This is Zaki [ph] on for Bill. Thanks for taking the question. Just had a quick question on Brazil. You mentioned that back-to-school in the U.S. you kind of expect that to be relatively normal maybe some changes here and there. But when we think about the margin structure in Brazil if that was to -- if the back-to-school season in Brazil was to get pushed back, how do you see that impacting your margin structure? Thank you.
Boris Elisman: Yes. We don't really see the back-to-school season in Brazil being pushed back because the school schedules have been released. So there's high confidence in the back-to-school season happening. What may happen is that demand may go down so just the sales will go down. And we're monitoring very -- that very carefully and depending on what we see at the end of Q3 we would be adjusting our manufacturing and distribution headcount to support the peak of back-to-school shipments in Q4. So certainly it may have an impact on our sales. From a margin standpoint, I don't expect a huge impact because a lot of the costs for us are variable, so as long as we pay careful attention to it which we plan to do. I expect that our margins to be consistent with what we had in the prior year. 
Q – Unidentified Analyst: Understood. Thank you.
Operator: Our next question comes from William Reuter with Bank of America. Your line is now open.
Unidentified Analyst: This is Mary on for Bill, taking question. So first is the decisions regarding how schools will operate this year are still being finalized. Do you expect that parents will still be buying their children's school supplies even if they're learning from home? And would you expect a surge in demand if more schools did return to in-person learning after the holidays? 
Boris Elisman: Yes. We do expect parents to be buying school supplies. Even if they are learning from home the quantity may be different, the mix may be different but we certainly do expect back-to-school sales to happen regardless. As far as your question about resurging demand if schools reopen. It's kind of late for that I think. The season is pretty much baked. People make their decisions in the May, June timeframe about what they're going to bring in. And given how short and peaky the season in, I'm doubtful that there will be a lot of replenishment regardless because people are going to switch out their inventory for Halloween and Christmas season and nobody will want to get stuck with additional inventory. So I think maybe on the margin things will potentially be a little bit better especially through e-commerce. But if you're talking about retail sales, I think the season is pretty much baked and I don't really expect much variability from a sales perspective regardless of what happens during the actual back-to-school. 
Unidentified Analyst: Got it. And then have you seen any meaningful changes in market share? And if there's anything else notable that you're seeing from competitors, if you could touch on that? 
Boris Elisman: We don't have third-party market share information yet from NPD which is what we use for the U.S. we'll have that probably next month for Q2. So no news to report there. We have seen some market share information in the GfK in Europe. And we're seeing our brands benefiting in the current environment where the consumers are being more discriminatory in what they buy and value seems to be carrying more heft with them. They look to be buying more brands that are focused on quality and longevity. And good price value equation. So we're seeing in Europe in any way lower private label sales and higher branded sales. And since we're a leader in our categories we're benefiting from that. 
Unidentified Analyst: Got it. That’s all for me. Thank you.
Boris Elisman: Thank you.
Operator: Thank you. Our next question comes from Hale Holden with Barclays. Your line is now open.
Hale Holden: Thanks for taking the call. I had two quick ones. The $11 million in savings that you're going to reinvest, does that start to flow through in the third quarter? Or is that more fourth quarter weighted when you start to see that?
Neal Fenwick: Well, there's an annualized impact. So you could imagine you might get one-quarter of it in the third quarter.
Hale Holden: Okay. Thank you. And then Neal, you had also said that your inventory will be down because you guys have shipped into back-to-school in the U.S. There's no risk to that inventory coming back to you, but it doesn't sell-through correctly?
Neal Fenwick: No. It's sole product.
Hale Holden: Sole product? So, it shouldn’t be…
Neal Fenwick: And we have no -- we don't have any rights of return. So what's sold is sold.
Hale Holden: Perfect. Thank you so much. I appreciate it.
Neal Fenwick: Thank you, Hale.
Operator: Thank you. [Operator Instructions] Our next question comes from Hamed Khorsand with BWS Financial. Your line is now open.
Hamed Khorsand: Good morning. So just wanted to ask you these restructurings that you've undertaken in the business. Are these permanent? And if business changes, do these costs come back? And have you adjusted the business if and when business does normalize?
Boris Elisman: These are permanent changes. So we're primarily taking headcount out. We're primarily combining businesses more importantly reorganizing businesses. If things are better than we think and they'll recover quicker than we think then we will adjust our investments in the future. As we normally do this is nothing different. We certainly go through a bunch of what if when we make these changes. These are, obviously, very important changes not just for the business, but for our people. We do very, very careful analysis and we have a lot of confidence that we'll be able to manage the upside if that comes out.
Hamed Khorsand: Okay. And then was there any benefit from back-to-school in the second quarter?
Boris Elisman: There was a lot of benefit from back-to-school sell-in in the second quarter. The stores just get set in early July. So we really don't see any actual back-to-school sell-out in the second quarter. But starting in late May and certainly throughout June, we ship a lot of products to our strategic customers for back-to-school. And we saw a lot of benefit in the U.S. for back-to-school sell-in in Q2.
Hamed Khorsand: And was the discussion with the retailers and the channels that you're selling into just similar as to what you were describing earlier in your pre-made remarks for back-to-school?
Boris Elisman: I'm not sure I understand Hamed.
Hamed Khorsand: I'm just -- from a product standpoint and what they're purchasing and taking on ahead of the back-to-school shopping period. Is it purely everything you've been selling is the Five Star in the art products and so forth? 
Boris Elisman: Yes, the -- exactly. The Five Star is our leading brand for back-to-school. So we saw strong shipments of Five Star products. And also a lower end of our Swingline range lower end of our -- core cut range also has some play in back-to-school. We also sell some academic calendars and those get shipped back-to-school. But Five Star is really the majority of the business.
Hamed Khorsand: Okay. Thank you.
Boris Elisman: Thank you, Hamed.
Operator: Thank you. I'm not showing any further questions at this time. I would now like to turn the call back over to Boris Elisman for closing remarks.
Boris Elisman: Thank you, Joelle. And thank you everybody for your interest in ACCO Brands. To summarize, the ramifications we're seeing from COVID-19 are very disruptive to our business, but we are confident in our ability to withstand this crisis as a result of the proactive initiatives that we have taken. Looking longer term, we also remain confident about our future and our ability to continue to position the company for growth and strong returns for our shareholders. Have a great day and we'll talk to you in a couple of months. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.